Operator: Good day everyone and welcome to the Trinity Third Quarter Results Conference Call. At this time, all participants are in a listen-only mode. Later you will have the opportunity to ask questions during the Q&A session. Please note this call maybe recorded. Now it is my pleasure to turn the call over to Vice President of Finance and Treasurer of Trinity Industries Mr. James Perry. Please go ahead sir.
James E. Perry - Vice President of Finance and Treasurer: Thank you, Elizabeth. Good morning from Dallas Texas, and welcome to the Trinity Industries Third Quarter 2008 Results Conference Call. I'm James Perry, Vice President of Finance and Treasurer for Trinity. Thank you for being with us today. In addition to me, you will hear today from Tim Wallace, Chairman, Chief Executive Officer and President; Steve Menzies, Senior Vice President and Group President of the Rail Group; and Bill McWhirter, Senior Vice President and Chief Financial Officer. Following that, we'll move to the Q&A session. Also in the room today is Chaz Michel, Vice President, Controller and Chief Accounting Officer. A replay of this conference call will be available starting one hour after the conference call ends today through midnight on Friday, November 7th. The replay number is 402-220-0422. A replay of this broadcast will also be available on our website located at www.trin.net. Before we get started, let me remind you that today's conference call contains forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995 and includes statements as to estimates expectations intentions and predictions of future financial performance. Statements that are not historical facts are forward-looking. Participants are directed to Trinity's Form 10-K and other SEC filings for a description of certain of the business issues and risks, a change in any of which could cause actual results or outcomes to differ materially from those expressed in the forward-looking statements. In today's call, you will hear us refer to the non-GAAP term EBITDA. A reconciliation of EBITDA was provided in our press release yesterday. For the third quarter, EBITDA was approximately $203 million, compared to $183 million in the same quarter a year ago. On September 30, 2008, we had total debt of $1.76 billion. Our borrowings at the corporate level was the $450 million of convertible subordinated notes, $201.5 million of senior notes and $3 million of other indebtedness for total corporate debt of $654.5 million. The leasing company's debt included $564 million of promissory notes, $323.5 million of secured railcar equipment notes, $157.3 outstanding under our railcar leasing warehouse facility and $61.4 million of equipment trust certificates, for total leasing company debt of $1.1 billion. This compares to a net book value for leasing equipment of $2.5 billion. During the next 12 months through September 30, 2009, our debt repayment commitments totaled $102 million. Details of future commitments can be found in note 8 of our 10-Q. Our total debt-to-total capital ratio was 47.7% on September 30, 2008, as compared to 44.3% at December 31, 2007. Net of cash, our net debt-to-total capital ratio was 45% on September 30, 2008, as compared to 38.6% at December 31, 2007. On September 30, 2008, our cash position was $183.2 million. As a result of the current economic crisis, there's a lot of discussion about liquidity. I want to walk you through Trinity's liquidity position as of September 30, 2008. In addition to the $183.2 million of cash on the balance sheet, we have $324.6 million available under our $425 million revolving credit facility, which matures in October 2012. We also have $442.7 million available under our leasing warehouse facility that matures in August 2009. We expect to renew this facility prior to its maturity. Combined these three items provide more than $950 million in liquidity for Trinity. In addition, we have strong cash flows with EBITDA totaling $743.6 million over the last four quarters. In these economic times, we are proud of our strong cash flows and balance sheet. We have worked deliberately to build and maintain our strong positions in these areas, so that we may capitalize on business opportunities as they arise. Interest expense for the third quarter of 2008 was $25.6 million, as compared to $19.5 million in the same quarter last year. The increase is the result of a higher level of debt as we have grown our lease fleet. Our interest coverage ratio is defined by EBITDA-to-interest expense over the last four quarters with 8.1 times. In December 2007, Trinity announced authorization for a $200 million share repurchase program through 2009. As we have previously stated, our share repurchase program is part of our capital plan. During the third quarter, we purchased 150,000 shares of stock in the open market for $3.8 million. These shares cash settled in October. Subsequent to the third quarter, we purchased 1,994,400 shares in a privately negotiated transaction for $42.2 million. Our cumulative purchases to-date now totaled 2,719,700 shares for $61.1 million. We viewed the recent decline in the market as an excellent opportunity to reinvest in Trinity. We will continue to provide details of our purchases when we report our results at the end of each quarter. Now here's Tim Wallace.
Timothy R. Wallace - Chairman of the Board, President and Chief Executive Officer: Thank you, James and good morning everyone. I am pleased with our results for the third quarter. Our revenues and earnings established new quarterly records. Our performance continues to reflect the success of our business model, and the strengths and capabilities of our workforce. We built a multi-industry portfolio that while not recession proof, better positions us to manage through economic downturns. During the third quarter, the diversification of our portfolio helped compensate for the decrease in earnings of our Rail Group. Both our barge and wind towers businesses produced strong results. Like many other US companies, the economic slowdown coupled with the turmoil in the financial markets is impacting our businesses. While our businesses continued to receive orders during the third quarter, it's clear that the economic conditions and tighter capital markets are causing our customers to be more cautious. During this period of uncertainty, we have challenged our businesses to reduce their costs while continuing to provide premiere products and services to our customers. We are closely monitoring ordering inquiries, and our businesses are collaborating to optimize production capacity. Trinity has a special strength in the way our businesses collaborate together for the benefit of the entire company. Our backlogs are allowing us time to plan our production as efficiently as possible. The key strength is our manufacturing flexibility. During the third quarter, our Rail Group's profits were in line with our expectations. Our railcar shipments reached a new record level during the quarter. The significant increase in shipments was related primarily to orders for railcars that were produced ahead of schedule for productivity purposes. Production continuity is a major factor in our rail businesses' ability to maximize profitability. Our railcar customers are being cautious in their placement of orders for railcars. We are positioned to respond once the market demand improves. During the third quarter, we developed plans to shift a portion of our railcar production capacity to structural wind towers. Some of our structural wind tower customers decided to delay placing orders while they assess ongoing wind energy demand and the availability of financing for wind energy projects. In light of these developments, we have developed plans to finish converting one of our railcar facilities over to wind tower production. We are ready to respond quickly once the market conditions improve. Trinity's Leasing And Management Services Group had a good third quarter. The business plays a crucial role during down cycles. It provides a more consistent level of earnings than our manufacturing operations during down cycles. We continued to increase the size of our lease fleet during the third quarter. A prolonged tightness in the capital markets could cause us to adjust the growth plans of our lease fleet. We are prepared to shift with the market. Our barge business has performed well during the third quarter. The strength of our barge backlog provides us with visibility well into 2009. Our barge personnel have done a great job of making productivity improvements resulting in an outstanding profit margin during the third quarter. Our barge customers continue to visit with us about opportunities for future business, but are definitely more cautious. Like our other businesses, we are positioned in our barge business to respond when customers need barges. Our Construction Products Group's financial performance was affected by wet weather and Hurricane Ike during the third quarter. We started off the quarter with normal construction weather, which deteriorated during the middle of the quarter. We finished the quarter on a high note, but could not overcome the slowdown associated with the hurricane. Our Highway Products business has been steady during the construction season. If the fall weather cooperates, we expect the balance of the construction season to be in line with normal seasonal activity. We are uniquely positioned in this business to respond to infrastructure spending projects. I remain optimistic about our structural wind towers business. We are encouraged by the recent extension of the federal production tax credit for wind energy. It appears that wind energy will continue to play a significant role in our nation's energy independence program. We are prepared to grow and support this program. We are the largest manufacturer of structural wind towers in North America. I'm very pleased with our company's growth in this industry. Our orders and inquiry levels for structural wind towers were robust until the financial turmoil hit a crisis stage. We expect our backlog to resume growing once the capital markets stabilize. Fortunately, our large order backlog enables us to stage our growth and maximize our efficiencies. The raw materials market, which serves our businesses, remains very dynamic. Global demand for steel is in a different situation than it was 60 days ago. Demand is decreasing and prices are adjusting as a result. The decrease in demand for steel should provide us opportunities to lower our cost. We are closely monitoring all of our supply chains for opportunities to reduce our cost without decreasing the quality of our products. From an overall perspective, we are cautious about providing guidance for 2009. Last year, at this time, we had better visibility into the following year and we were able to provide earnings guidance for 2008. The economy is currently too volatile for us to make accurate projections. As a result, we will not provide earnings guidance for calendar year 2009 during our conference call. We are hopeful that the government's intervention and stimulus initiatives will help stabilize the capital markets and initiate economic stability. Fortunately, as James mentioned, Trinity's liquidity stood at $950 million as of September 30th. We generated strong cash flows with EBITDA of $203 million in the third quarter. I am confident of our abilities going forward. We have been working for years to position ourselves to be highly competitive in a variety of economic scenarios. We have a strong multi-industry business model. Our success during the third quarter reflects the talents of our people, the diversifications of our businesses, our emphasis on highly efficient manufacturing, and the strength of our market leadership positions. During the 33 years that I've been with Trinity, I've personally experienced several challenging time periods. Many of our people have experienced them as well, and we are highly capable of dealing with these types of situations. Challenging economic conditions are never pleasant, but we are fortunate to be uniquely positioned. We are a very flexible company, and we have a proven ability to respond quickly to customers' needs. During down cycles, we have historically strengthened our portfolio of businesses, and we believe there are opportunities to do so during this cycle. We are watching closely for opportunities while simultaneously keeping an eye on our businesses and our costs. We stand ready to respond as our economy begins to improve. I will now turn it over to Steve Menzies for his comments.
D. Stephen Menzies - Senior Vice President and Group President of TrinityRail: Thank you, Tim. Good morning. Trinity really had another solid operating performance during the third quarter of 2008, despite rapidly changing economic and market conditions. We shipped a record number of railcars during the quarter, met our expectations for operating margins, and grew our lease fleet while maintaining high fleet utilization. Operating margins for the third quarter were 7.5%, compared to 15.5%, a year earlier and 12.3% during the second quarter of 2008. We expect our operating margins to decline further during the rest of 2008, as a result of highly competitive market environment. During the third quarter, Trinity Rail shipped 8,560 railcars, 30% greater than the 6,580 railcars shipped in the second quarter of 2008 and 21% greater than the 7,070 shipments in the third quarter of 2007. We expect shipments of between 7,000 and 7,500 railcars during the fourth quarter of 2008. Some of these shipments may come from our finished goods inventory of railcars built in advance of customers' needs. Building railcars in advance of orders helps to maintain production continuity and efficiencies, while making certain railcar types readily available to customers with immediate needs. We are currently developing our production plans for 2009, amid a rapidly changing market environment. Railcar orders industry-wide weakened during the third quarter. Approximately 7,900 new railcar orders were placed. This brings the industry total for the first nine months of 2008 to more than 30,500 railcars. At quarter end, the total industry backlog stood at approximately 52,800 railcars, down 15%, compared to the backlog at the end of the second quarter. We continue to experience weak demand in current order inquiries, reflective of lower railcar loadings, rapidly decreasing commodity prices, and an overhang of idle, new built railcars yet to be absorbed into the rail system. Some industry forecasts have recently been adjusted to reflect 2009 industry production in the 35,000 to 40,000 railcar range, which is consistent with the market inputs we've reviewed. Most noteworthy is an anticipated decline in railcar production in 2009 related to the sharp decrease in demand for biofuels and their co-products. In addition, forecasts indicate weak demand for intermodal and boxcars and steady demand for coal cars and certain covered hoppers. During the third quarter 2008, Trinity Rail received approximately 4,010 railcar orders, raising our order total for the first nine months of 2008 to slightly more than 15,500 railcars. Many of these orders extend current production lines for a variety of railcars. Specifically, we have received orders for covered hoppers, coal cars, open-top hoppers, mill gondolas, auto racks, and tank cars. The diversity of our orders reflects the breadth of Trinity Rail's product line, customer base, and existing production lines. At the end of the third quarter, Trinity Rail's firm order backlog was approximately 24,130 railcars, a 16% decrease from the second quarter of 2008. Our order backlog comprises 46% of the industry total. Since our order backlog as of 09/30/2008 was spread across several years, I will provide a brief summary of our backlog by year. Our backlog for the balance of 2008 is approximately 7,000 railcars, approximately 8,000 railcars for 2009, and the balance through 2011. Our order backlog is very dynamic and will change from quarter-to-quarter. We are focused on securing orders to fill production gaps in 2009 to maintain production continuity and enable us to realize production efficiencies. Our sales team has historically been successful in obtaining orders to fill our production line gaps. Our railcar's Leasing and Management Services Group continued to grow its railcar fleet during the third quarter. Trinity Rail shipped 4,148 new railcars to customers of our leasing company during the third quarter, all subject to firm non-cancelable leases. This represented about 48% of Trinity Rail's third quarter railcar shipments. During the third quarter, we also sold approximately 1,580 railcars from our leased fleet to TRIP and other various leasing companies and financial institutions. As a result, our lease fleet has grown 22.3% to more than 43,900 railcars, compared to approximately 35,890 railcars in our lease fleet at the end of the third quarter 2007. Demand for railcar leasing continues to increase as evidenced by our strong leasing backlog. Our committed lease backlog as of September 30, 2008, was approximately 17,490 railcars, or 72% of our total production backlog. We continue to see a long-term trend for railroads and industrial producers to use their capital resources to acquire assets that are core to their businesses while relying on leasing for operating assets such as railcars. Our lease fleet utilization was 99% at the end of the third quarter of 2008. Lease renewals and successful remarketing of railcars available from leases not renewed have helped maintain our high fleet utilization. Lease rates for renewals and assignments remain stable. The average age of the railcars in our lease fleet is 4.7 years, and the average remaining lease term in approximately 4.6 years. In summary, rapidly changing market conditions, excess industry production capacity, and an overhang of idle recently built railcars is creating a very challenging environment. Trinity Rail is well-positioned to compete in the current market environment, as a result of the initiatives we have implemented during the past several years. Our broad customer base, operating flexibility, and diverse product line, combined with our leasing capabilities, gives us the flexibility to meet customer demand and market challenges. I'll now turn it over to Bill McWhirter.
William A. McWhirter II - Chief Financial Officer and Senior Vice President: Thank you, Steve, and good morning everyone. My comments relate primarily to the third quarter of 2008. We will follow our Form 10-Q this morning. For the third quarter of 2008, we reported earnings of $1.14 per diluted share from continuing operations. This compares with $1.08 per share from continuing operations in the same quarter of 2007. Revenues for the third quarter of 2008 were the highest reported revenues in the company's history, increasing 14.5% over the same quarter last year. Earnings from continuing operations exceeded the high end of our guidance by $0.18 per share. A lower tax rate contributed to $0.06 of the earnings. The remainder is primarily the result of better than expected operating performance in our rail, barge, and energy equipment groups. Moving to our Rail Group. Revenues for this group increased on a quarter-over-quarter basis by 21%. Rail Group sales to Trinity's Leasing and Management Services Group were $323 million in the third quarter of 2008, with profits of $9.9 million or approximately $0.08 per share. This compares with sales for our Leasing Group in the third quarter 2007 of $235 million with profits of $37.3 million or $0.30 per diluted share. These intercompany sales and profits are eliminated in consolidation. Our margin results for the Rail Group were 7.5%. At this time we anticipate margins for the Rail Group of between 4% and 5% for the fourth quarter. The projected margin level reflects the competitive pricing environment and the mix of car types to be shipped in the quarter. The Rail Group backlog as of September 30, 2008, consisted of approximately 24,130 railcars with an estimated sales value of $2 billion. Our railcar backlog is broken down approximately as follows: Backlog to our leasing company, $1.4 billion; backlog to TRIP $150 million; and backlog to third-parties $450 million. Now turning to our Inland Barge Group, the Inland Barge Group's third quarter performance was very strong; posting revenues of $161 million and operating profit of $29.8 million for a margin of 18.6%. The results of the Inland Barge Group continue to reflect a high level of operational excellence. This group's backlog as of September 30, 2008, totaled $669 million. This compares with $772 million one year ago. We anticipate the Inland Barge revenues of between $160 million and $170 million in the fourth quarter. The operating profit margins are expected to range between 16% and 18% for the same period. Now moving to the Energy Equipment Group, during the third quarter, this group's revenue rose 82% quarter-over-quarter to $185 million. Operating profits were $32.5 million with an operating profit margin of 17.6%. The Energy Equipment Group's revenue growth continues to be driven by our structural wind tower business. Wind tower revenues should account for approximately $420 million in 2008. Revenues for our Construction Products Group grew by 4%, when compared to the same quarter of the previous year. Operating profit was $17.3 million for the quarter which was lower than last year, primarily due to adverse weather conditions in the southwest United States during the quarter. Our Railcar Leasing and Management Services Group reported revenues of $207 million compared with $204 million in the same quarter 2007. Operating profit for the third quarter of 2008 was $54 million with $21 million resulting from railcar sales. During the third quarter, car sales from the fleet were $127 million of which TRIP accounted for $53 million. The remaining sales were made through independent third-parties. In addition, TRIP purchased $57 million worth of railcars from our manufacturing companies during the third quarter 2008. For 2008, we anticipate approximately $950 million in net additions to our lease fleet. As a form of clarity, net fleet additions are the fair market value of cars added to our fleet less the proceeds of cars sold from the fleet. Moving to our consolidated results. For 2008, we expect non-leasing capital expenditures of between $145 million and $155 million. During the fourth quarter, we expect to defer approximately $355 million in revenue and between $11 million and $13 million on operating profits as we grow our leasing business and sell cars to TRIP. This represents between $0.09 and $0.11 per share. We anticipate earnings from continuing operations for the fourth quarter of 2008 to range between $0.60 and $0.65 per diluted share. Our 2008 full-year guidance is $3.61 to $3.66 per share. Included in our assumptions for 2008, are normal weather condition and no unanticipated adverse resolution of legal matters. At this time I'll turn the presentation back to James for the question and answer session.
James E. Perry - Vice President of Finance and Treasurer: Thanks Bill. Now our operator will prepare us for the Q&A session. Question and Answer
Operator: [Operator Instructions]. And our first question comes from Wendy Caplan of Wachovia Securities. Please go ahead.
Wendy Caplan - Wachovia Securities: Thank you. Good morning.
Timothy R. Wallace - Chairman of the Board, President and Chief Executive Officer: Good morning.
Wendy Caplan - Wachovia Securities: A couple questions; first just a clarification just to be sure that I heard you correctly. You said that customers were attached to all the leases in the rail business… that you… the leasing business.
Timothy R. Wallace - Chairman of the Board, President and Chief Executive Officer: Yeah. Steve, why don't you handle that?
D. Stephen Menzies - Senior Vice President and Group President of TrinityRail: Yes Wendy. All the shipments from our manufacturing business to our leasing company are supported by non-cancellable orders. And any of our backlog that we state is supported by firm non-cancellable lease or orders as well.
Wendy Caplan - Wachovia Securities: Okay. Thank you, Steve. That's helpful. As you look Steve out at the Rail Group, assuming that as we kind of all are that we're at the beginning or in the middle of a kind of slippery slope here in terms of demand, do you expect that the Rail Group can remain profitable during the down cycle this time?
Timothy R. Wallace - Chairman of the Board, President and Chief Executive Officer: Wendy, this it Tim. I'll handle that because I was around the last time. What we've really worked hard to do is to position this multi-industry model that we have where we have other businesses that can help pick up the earnings drop like we did this last quarter. With the Rail Group, we look it as Trinity Rail and the leasing company is a lot larger now and has a whole lot more steady flow of earnings. That's what I have said in my statement. Now depending on how low the manufacturing build order rate is it would be… our profitability would all be tied to that. And so, it's hard to determine a scenario that would cause us to be losing at the Trinity Rail section. But at the Rail Group at a very low run rate there would be an opportunity or potential for us to be losing money.
D. Stephen Menzies - Senior Vice President and Group President of TrinityRail: Tim, if I could just to supplement what you're saying, during the last downturn in 2002, the size of our leasing business was about 8,000 to 9,000 railcars versus approximately 43,900 railcars today. So, that size of the leasing business gives us a fair amount of earnings momentum that we did not have during the last downturn.
Wendy Caplan - Wachovia Securities: Right. And I know you've been saying over time that you expect that that will smooth earnings during the downturn. We'll… I guess get an opportunity to see that. The other question I had was about your comment, Tim, I think about maintaining productivity by completing orders ahead of schedule. Is that something that should be of concern to us that you may be building things that there may not be customers for or can you clarify that for me please?
Timothy R. Wallace - Chairman of the Board, President and Chief Executive Officer: Sure. That's very common on our production scheduling. A lot of times our customers will either contact us and try to move out delivery on cars or sometimes for production reasons, we move up delivery because it fills a void or a gap that we may have. And this isn't something that has occurred only in this quarter, it's something that's just part of the normal production planning. This quarter though, we did have a larger number of cars that we had built ahead of schedule for customers with orders that we were able to ship.
Operator: And our next question comes from Steve Barger of KeyBanc Securities.
Joe Box - KeyBanc Securities: Hey good morning guys. This is actually Joe Box filling in for Steve. You talked a little bit earlier about having a backlog. I think it was roughly 8,000 cars that you expect to deliver in 2009. If you were to maybe look back about year ago, how do you think that that visibility compares to the end of 3Q '07?
Timothy R. Wallace - Chairman of the Board, President and Chief Executive Officer: Steve, do you want to handle that?
D. Stephen Menzies - Senior Vice President and Group President of TrinityRail: Joe, could you just elaborate a little bit more in the question what you're looking for? I'm not clear what you're asking.
Joe Box - KeyBanc Securities: I'm wondering how your visibility compares right now. I think you had said that you expect to ship about… or you have in backlog about 8,000 cars that are expected to go in 2009. I'm wondering how that compares to the level of visibility that you had at the end of 3Q '07.
D. Stephen Menzies - Senior Vice President and Group President of TrinityRail: Well, our backlog today is less than it was at this time in 2007. So, we had more visibility a year ago. And that would be consistent with a weakening market.
Joe Box - KeyBanc Securities: Okay. Separately, can you talk a little bit about your expected manufacturing footprint for your railcar business? I guess to be a little bit more specific, can you break it down between your low cost Mexico production versus your higher cost US production?
Timothy R. Wallace - Chairman of the Board, President and Chief Executive Officer: No. We don't publish or give those numbers out for numerous reasons, primarily competitive reasons. And one of the key things that we have is the flexibility of being able to shift our production between our operations that will help maximize the productivity. And that's what we've been experiencing the last several quarters is a lot of productivity.
D. Stephen Menzies - Senior Vice President and Group President of TrinityRail: Joe we're currently working on our 2009 production plans. We're very much in the planning cycle for our business. And I believe in previous calls we have stated that we expect to produce approximately 35% to 40% of our cars from our Mexican facility.
Operator: Thank you. And our next question comes from John Barnes of BB&T Capital Markets. Please go ahead.
John Barnes - BB&T Capital Markets: Hey, Good morning, guys. Could you talk a little bit Bill just… I think in last quarter you talked a little bit about margins on the rail side being… I think the range you gave was kind of 6 to 9%. It came in the midpoint of that range. You lowered it for the fourth quarter. I understand you've got the same issues going on, but you should have a bit of a reprieve in the fourth quarter on raw material cost. Or is it that you've already purchased the raw material cost a couple of quarters ago when they were at their highest, so you're kind of cycling through your highest raw materials at this point?
William A. McWhirter II - Chief Financial Officer and Senior Vice President: Yeah, John, back in Q2 we said between 6 and 8%, we ended up at 7.5 kind of right in that range. As we look forward into Q4… 4 and 5, it obviously has some pricing issues associated with it as well as the cost side. You would guess that the material would already be on the ground for the vast majority of cars to be produced in Q4. So I think that cost is there to stay. Clearly as we look forward though we are seeing a little bit of bright spots in raw materials falling down a little further than we had anticipated.
John Barnes - BB&T Capital Markets: So you should start to get some benefit from raw materials?
William A. McWhirter II - Chief Financial Officer and Senior Vice President: I hope we pick up a little cost savings in raw materials. I'm not sure what the pricing environment is going to do.
John Barnes - BB&T Capital Markets: Okay. All right, very good. I might have missed this comment but to the last question on the 8,000 cars to be delivered in 2009 that's a firm number? That's how many you expect as of what you've got in the backlog right now? That's what you anticipate delivering in 2009 barring any other orders?
Timothy R. Wallace - Chairman of the Board, President and Chief Executive Officer: Steve why don't you take that one?
D. Stephen Menzies - Senior Vice President and Group President of TrinityRail: Just to be clear that's our order backlog for 2009. We would expect to produce more cars than that. And again as I said we're working on our production plans for 2009. But those 8,000 are firm orders that we have today for production in 2009. That is not what we intend to produce. We hope to produce more than that.
Operator: And out next question comes from Paul Bodnar of Longbow Research. Please go ahead.
Paul Bodnar - Longbow Research: Good morning, guys. Just a follow-up to that last question, in terms of the percent backlog maybe at the end of 3Q '07 versus 3Q '08, the 8,000 cars being produced in '09. Is [inaudible] to percent backlog as to what it looked like a year ago? I guess is that a pretty typical number to have that many cars in your backlog in 2010?
D. Stephen Menzies - Senior Vice President and Group President of TrinityRail: It's really hard to generalize about that Paul. Every market is different. Just to build here our backlog at the end of third quarter of 2007 was approximately 31,200 railcars.
Paul Bodnar - Longbow Research: Okay. I guess another follow-up too. Compared to the last downturn you've change your manufacturing [inaudible]. Right now you're converting two facilities over to wind. Maybe just talk a little bit about how the footprint looks a little bit different, what you've kind of added in terms of facilities now that fixed cost structure may differ this time?
James E. Perry - Vice President of Finance and Treasurer: There's a real bad connection. Could you repeat that question for us?
Paul Bodnar - Longbow Research: Yes. During the last downturn, you obviously shifted some facilities this time around to wind. You've done some work in Mexico, but how does the fixed-cost footprint or just your number of facilities out there compare to what you looked like in the last downturn?
Timothy R. Wallace - Chairman of the Board, President and Chief Executive Officer: Bill why don't you handle that?
William A. McWhirter II - Chief Financial Officer and Senior Vice President: I think the fixed-cost footprint particularly for the rail side looks much better than it did in the last downturn. We don't have the northeast facilities that we used to have that had a higher cost base. We've made great investments in our Mexico facilities. And we converted a lot of the idle capacity over to the wind tower business, which is being effectively used in producing quite a bit of income. So I would say overall the company is positioned much, much better for a rails down cycle.
Timothy R. Wallace - Chairman of the Board, President and Chief Executive Officer: This is Tim. I want to be sure that everybody understands the comment that I had on the wind tower conversions. At the last conference call we said we were converting two facilities. And we decided just to convert one facility and we've delayed our plans on the second facility. So we are closely monitoring that situation and we'll make a decision based on our order level and order inquiry level, but we're really ready to respond fairly quickly on converting that second facility.
Operator: And our next question comes from Art Hatfield of Morgan Keegan. Your line is open.
Arthur Hatfield - Morgan Keegan & Co.: Thank you. Good morning everybody, Just a few questions. Do you know what percent or… and if you do… are you willing to give, what percent of your lease fleet rolls off leases in 2009?
Timothy R. Wallace - Chairman of the Board, President and Chief Executive Officer: This is Tim. In a leasing business you just have a normal leasing that comes up on a year-in/year-out basis. But since we're growing our leasing business as rapid as we are we don't really have any normal statistics. And it was kind of back to the question where you asking, traditionally what do you do? And when you're growing leasing business like this there's really not a particular norm. Steve you want to add anything to that?
D. Stephen Menzies - Senior Vice President and Group President of TrinityRail: Well I guess the other maybe rule of thumb for the leasing business is to take your average remaining lease term and look at that over the size of your fleet. You get some averages is what you can see coming off lease each year, but we don't give specific information about our lease expirations for competitive purposes.
Arthur Hatfield - Morgan Keegan & Co.: Okay. Thanks. And just a real quick question on your construction business Tim, my understanding is that it doesn't have a big correlation to housing. Is that correct? And if it's not, can you give us kind of what percentage of that business is related to the housing market?
Timothy R. Wallace - Chairman of the Board, President and Chief Executive Officer: Well our construction businesses consist of a number of different components. One that's most related to the housing business would be the concrete and aggregate business in Texas. And the Texas market in the housing area where we serve we haven't seen a deep trough like you've seen in other areas. So there's definitely vulnerability. Also our people have been really good at converting back over to some other industrial type products in that area. In the highway guardrails area it's obvious that's really not tied to… highway safety products is not tied to homebuilding at all. Bill do you have any other comments on that.
William A. McWhirter II - Chief Financial Officer and Senior Vice President: No. I think that's perfect.
Operator: And our next question comes from Bill Baldwin of Baldwin Anthony. Your line is open.
Bill Baldwin - Baldwin Anthony Securities: Thank you. Good morning gentlemen. Bill I wanted to see what kind of color you could offer us as far as what you're seeing out there in terms of availability, in terms on your longer-term financing that may be available for your Trinity leasing. You know when you transfer them out of your warehouse into your lease fleet what's kind of going on in those markets right now?
William A. McWhirter II - Chief Financial Officer and Senior Vice President: I would say right now the capital markets obviously are in disarray. Our general thinking is that things are generally far for 2008. There's a lot of optimism that the markets will be back in 2009 and that the stimulus packages that are out there will get the capital moving. The one thing for sure is that Trinity over the past few years has certainly built a reputation as the absolute leader in railcar financing. So I think when we come back to the table our name in the capital markets will be kind of the class-A name as we try to do this paper. As James went through we have plenty of liquidity, and our hope is 2009 [inaudible].
Timothy R. Wallace - Chairman of the Board, President and Chief Executive Officer: Then we did a nice financing back in, was that May?
William A. McWhirter II - Chief Financial Officer and Senior Vice President: Yes. I think our timing has been really good --
Bill Baldwin - Baldwin Anthony Securities: Yes. That was very timely. Good job there gentlemen on that. Do you work with the larger banks on financing your longer-term requirements in that lease fleet particularly with those special-equity trusts you set up?
William A. McWhirter II - Chief Financial Officer and Senior Vice President: Yes. I think we have a variety of people that we work with to get the paper renewed. We used some investment banks to help us with structure. And then we have some great banking relationships across the board that we've had for a long time. And so we get a lot of participation.
Operator: And our next question comes from Louis Sapir with Oppenheimer. Please go ahead.
Louis Sapir - Oppenheimer & Co.: Thank you very much. Formally either from quarterly reports are in literature. The indication was that your earnings for the year would be in the area of $3.50 a share. Am I to assume that that number is still valid?
Timothy R. Wallace - Chairman of the Board, President and Chief Executive Officer: Bill do you want to handle that or James?
William A. McWhirter II - Chief Financial Officer and Senior Vice President: If you're talking about guidance for 2008 our guidance for 2008 based on the performance in the third quarter is now $3.60 to $3.66 on a fully diluted basis.
Louis Sapir - Oppenheimer & Co.: $3.56 on a fully diluted basis?
William A. McWhirter II - Chief Financial Officer and Senior Vice President: I'm sorry. $3.61 to $3.66.
Operator: And now we have a follow-up question from the site of Paul Bodnar at Longbow.
Paul Bodnar - Longbow Research: A little color on what the order activity looks like in barge business right now and what the market outlook is for you at the next six months or so there?
Timothy R. Wallace - Chairman of the Board, President and Chief Executive Officer: Bill you want to take that one?
William A. McWhirter II - Chief Financial Officer and Senior Vice President: I would say it's fair to say that in the barge business where you have an item that has a large piece of steel cost associated with it there's a little bit of wait and see [inaudible]. We're fortunate to have very good backbones in that business and as fully demonstrated in our sales as a leader in barge production. I think the need will be there. But I think in the short term we may see a little bit of cautious nature associated with buying barges.
Operator: And gentlemen it appears that we have no further questions at this time. So I'll turn the conference back over to Mr. Perry.
James E. Perry - Vice President of Finance and Treasurer: Thank you, Elizabeth, This concludes today's conference call. Remember a replay of this call will be available starting one hour after this call ends today through midnight Friday November 7. The access number is 402-220-0422. Also this replay will be available on our Website located at www.trin.net. We look forward to visiting with you again on our next conference call. Thank you for joining us this morning.
Operator: This concludes today's conference call. You may disconnect at any time. Thank you and have a great day. .